Operator: [Call started abruptly] [Operator Instructions]  And I will now hand you over to your host, Stéphane Boujnah, CEO and Chairman of the Managing Board, to begin today's conference. Thank you.
Stéphane Boujnah: Good morning, everybody, and thank you for joining us this morning for Euronext third quarter 2020 results conference call and webcast. I'm Stéphane Boujnah, CEO and Chairman of the Managing Board of Euronext. And I will start with the highlights of this third quarter. Giorgio Modica, the Euronext’s CFO will then develop further the main business and financial highlights. And we will then open up for questions together with Anthony Attia, member of the Managing Board of Euronext. So let's start on Slide 4. As you've seen Euronext reported solid results for the third quarter of 2020. This reflects the continued benefits of our diversification initiatives, as well as the resilience of all core business. As you've seen the revenue increase in Q3, 2020 by €23.1 million, up plus 12.7% to €204.8 million compared to Q3 2019. This robust performance reflects solid revenue growth resulting from both continuous diversification and a resilient core business. So excluding acquisitions and at constant currencies rate, revenue grew by plus 3.4% in Q3 versus last year. Non-volume related revenue accounted for 54% of group revenue this quarter and covered 128% of operating expenses, excluding depreciation and amortization. So thanks to our continuous costs discipline. Group EBITDA also grew by plus 9.1% in Q2 -- in Q3, 2020, to €117.8 million. And this translated into an EBITDA margin of 57.5%. It is 1.9 points lower than last year's third quarter, as we are in the process of consolidating costs from our recent acquisitions, whose integrations are still ongoing, but on a like-for-like basis and excluding recent acquisitions, such as VP Securities, in Copenhagen EBITDA margin reached 59.7%, slightly higher than last year. In this context, we confirm the cost guidance announced in February for 2020, as we expect this strategic costs and strategic plan and Oslo Børs VPS integration costs to ramp up in the fourth quarter. Overall, this good performance of the quarter resulted in a plus 13.8% increase in adjusted EPS and €1.12 per share. On a reported basis, Q3, 2020, net income was up plus 10.6% at €17.2. So moving to Slide 5, I would like to come back quickly on the Borsa Italiana acquisition. On October 9, we announced a turning point in our history with the contemplated acquisition of the Borsa Italiana Group. The combined group when the deal is completing we have a well diversified business mix covering the full exchange value chain. The combined group will become the leading pan-European venue for listing with €4.4 trillion market capitalization on its market. It will be the number one venue for secondary markets with €11.7 billion of average daily volume. The combined group will offer a full post trade value chain with the addition of a multi-clearing house, multi-assets clearing house sorry, and it will become the third CSD in Europe. And we will more than double the volumes of assets and the custody within the Euronext Group. From a financial perspective, the proposed combination will provide compelling value propositions for our shoulders. The combined group would cross the €1 billion revenue walk and will provide LP EBITDA margin profile I mean even prior to any synergies, and it is clearly very important to note that Borsa Italiana has higher revenue and EBITDA performance, that what was rumored in the press before the transaction was announced. In addition, the combination is expected to deliver €60 million of run-rate synergies by the third year after completion through a combination of €45 million of expected cost synergies and €15 million of expected revenue synergies. And the combination of Euronext and Borsa Italiana Group is expected to result in an immediate accretion on adjusted EPS before any synergies and a double-digit EPS accretion on EPS post-synergies in year 3. To conclude on this slide with some words on financing and timing, I just wanted to remind everyone that Euronext is acquired 100% of the London Stock Exchange Group Holdings Italia S.p.A, which is the holding company of the Borsa Italiana for cash consideration of €4,325 million. The financing is fully secured through bridge loan facilities fully underwriting -- underwritten by a group of banks. And we expect to complete the acquisition by the first half of 2021 subject to various conditions precedent that are in the process of being met. The first one is the approval by the Euronext Extraordinary General Meeting which will convene on the November 20 to review the transaction. The other one is the clearance by the European Commission for the London Stock Exchange proposed merger with Refinitiv. I'm sure you all saw that on the November 3, London Stock Exchange Group shareholders approved the sale of Borsa Italiana, which was also one of the conditions to transaction. So I’ll now handover to Giorgio Modica for the detailed presentations of our third quarter results.
Giorgio Modica: Thank you Stéphane and good morning everyone. Let's start with Slide 7. First of all, I would like to start saying that like-for-like an organic performance exclude the impact of the consolidation of VP Securities Nord Pool, OPCVM360, Ticker, 3Sens and exclude exchanges of foreign exchange rate. As Stéphane mentioned Euronext reported a solid quarter with revenues reaching €204.8 million, up €23.1 million or 12.7%. External growth contributed €19.2 million to this performance. Let's take a closer look at the different businesses, post-trade revenue increased 44.9% to €44.6 million, driven by the first impact of the consolidation of VP Securities, contributing for €10 million, the strong organic performance and higher clearing revenues. Trading revenue was up 7.3% to €75.9 million with €6.3 million contributed by Nord Pool power trading this contribution offset slightly lower cash and derivative trading revenues. Listing revenue grew 2.9% to €35.8 million thanks to the strong performance of corporate services at €7.8 million revenues. Advanced Data Services show a 3% increase to €34.5 million reflecting a solid performance of the market data in indices business and the contribution of Nord Pool data businesses. In the third quarter of 2020, non-volume related revenue accounted for 54% of total group revenue increasing from 52% in the same quarter last year. This change reflects the expanded post-trade activity would be VP Securities. Lastly, these non-volume related revenue covered under 128% of our operating cost excluding D&A almost identical to 129% last year. Moving to listings Side 8, Corporate Services remains this quarter the growth engine of listing. Listing revenue grew 2.9% to €35.8 million with our corporate service franchise reporting €7.8 million of revenues, up 29.5% due to the continued demand for digital solutions in the current market. On primary market, Euronext reported record quarter in terms of new listings with 21 SME new listing that demonstrate the attractiveness of our value proposition and the success of the listing initiative launched in the last year, also contributed for 13 new listing in the third quarter of 2020, one of the busiest quarter of its history and beat their 13-year record. Five new listing were from company that [listed] outside of the Euronext market, most of them in Spain and our TechShare program contributed for two new listings. Overall €917 million were raised on the Euronext primary market compared to €221 million last year. Secondary market saw the usual seasonal slowdown in activity, combined with a larger proportion of convertible bond financing. In the third quarter of 2020 €8.5 billion were raised in secondary equity issues, compared to €6.1 billion in the third quarter of 2019. Moving now to our trading business, let's start with cash trading on Slide 9, cash trading revenue decreased 0.6% to a total of €53 million reflecting lower trading volumes offset by improved average revenue capture and market share. Like-for-like revenue decreased 0.2%. Looking now at the different components of this performance ADV decreased 5.8% to €7.5 billion. The average yield of the third quarter increased to 0.54 basis point compared to 0.51 basis point in the third quarter of 2019. This is a 5.2% increase that almost perfectly offsets the impact of subdue volumes. On average market share on cash trading reach 70% of the quarter compared to 69.4% in the third quarter of 2019. Moving on to derivatives trading, derivative revenue were €10.8 million, down 6.3% compared to the third quarter of 2019, reflecting lower trading volumes also impacted by the uncertainty over the dividend season. Let's take a closer look at the different drivers, revenues decreased more than volumes as the average fees slightly decreased compared to last year. Average revenue per lot was €0.30 down 1.3%. These reflect as I highlighted in the second quarter the significant increased proportion of lower yield equity feature in our product mix. This was partially offset by stronger volumes in commodity derivative that as you know, have higher than average fees. Excluding the impact of these new equity futures, namely Single stock Dividend Futures products the average revenue capture would have been €0.33 per lot. Moving to the next part of our trading business on Slide 10. Spot FX recorded average daily volume of $19.3 billion almost stable to the third quarter of 2019. Spot FX trading revenue was down 2.4% to €5.8 million, negatively impacted by the euro dollar evolution. At current currencies, Spot FX trading revenue was up 2.6%. Power trading encompassing the trading activity of Nord Pool of which Euronext acquired 66% in January 2020 reported €6.3 million revenues. These reflect the lower volumes due to the seasonal slowdown of spring and summer months as mentioned in the second quarter. In the third quarter of 2020, average daily volume for the day ahead were 2.19 terawatt hour while the average daily volume for the itnraday was 0.07 terawatt hour. As a reminder other Nord Pool activities namely market coupling, shipping and market data are recorded in market data and technology solution. Moving to Slide 11 for post-trades, revenue from our post-trade activity increased 44.9% in the third quarter of 2020 to €44.6 million. Clearing revenue was up 11.7% to €14.9 million reflecting higher treasury income and revenue capture offsetting lower derivatives of trading volumes. Custody and settlement revenue accounted for €29.8 million up 70.3% resulting primarily from the first impact of the consolidation of VP Securities as mentioned. In addition, the business benefit from high settlement activity and the increase retail participation in Norwegian CSD. Moving to Slide 12, starting with the Advanced Data Services, revenue was up 3% to €34.5 million in the third quarter of 2020. This growth was driven by the consolidations of our core business is contributing €0.5 million and a resilient core business with continuous traction from ESG products and market data business. Investor services revenue grew 7.9% to €2 million thanks to the good commercial traction. Lastly, on technology solution revenue was up 20.2% to €11.9 million mainly resulting from the consolidation of Oslo Børs VPS and Nord Pool, but also from a solid core business performance. Moving to Slide 14 for the financial highlight of the quarter, let's start with EBITDA. EBITDA grew 9.1% to €117.8 million this quarter. We already covered revenue therefore I will focus mainly on costs and margins. Organic cost increase of €2.3 million or 3.2%, mainly driven by lower capitalization costs compared to last year, as well as costs related to this strategic plan. Overall the EBITDA margin for the group decreased to 57.5% in the third quarter of 2020, down 1.9 points. It is mainly due to our recent acquisition, not fully optimized yet and reducing the group margin. Organic EBITDA margin was at 59.7%, this quarter up 1 point compared to last year. This quarter, the EBITDA margin of the newly acquired business was 35.9%, with lower margin of Nord Pool partially offset by the -- than expected margin of VP Securities. More specifically, VP Securities margin was boosted by the seasonal -- usual seasonal impact of the third quarter with lower costs and one-off release of accruals on revenues. Finally, as Stéphane mentioned, we expect costs from Oslo Børs VPS integrations and the strategic project in the next quarter, which is why we confirm our 2020 cost guidance of a mid single-digit growth compared to the annualized second half of 2019. Moving to Slide 15, and net income, the net income increased this quarter 10.6% to €70.2 million as a result of the good operating performance. Adjusted for PPA an exceptional item EPS was up 13.8% at €1.12. In details, we already covered the first building block of the waterfall EBITDA, so I will move on. D&A increase 17.8% resulting mainly from the consolidation of recently acquired business and the impact of PPA. This quarter €5.7 million of our D&A are linked to the PPA of acquisitions. €3.5 million of exceptional costs were booked in the third quarter of 2020 primarily related to the contemplated acquisition of Borsa Italiana and restructuring costs. Net financing expense for the third quarter of 2020 was €3.4 million, up from €2 million in the third quarter of 2019. It mainly reflects the impact of foreign exchange rates and interest rates related to the top bond issue in June 2020. The tax rate was lower than last year at 26.4% positively impacted by the reduced domestic tax rates as we expand our footprint in the Nordic region and other local tax rate tend to decrease across the Euronext country. Lastly, I would like to highlight that we anticipate to book various exceptional cost in the fourth quarter of 2020 in relation to the integration of VP Securities and the contemplated acquisition of the Borsa Italiana Group. More specifically, we expect to expense between €10 million and €15 million in the fourth quarter of 2020. To conclude with financial, let's move to Slide 16. Net operating cash flow post-tax for the quarter was €71.7 million impacted by changes in working capital of Nord Pool. As a consequence the cash flow conversion scale down from approximately 70% last year to circa 61%. Excluding the impact of Nord Pool Euronext cash conversion is stable or would have been stable vis-à-vis 2019. Our net debt stands at €710 million representing a net leverage of 1.4 times pro forma of the last 12 months. Gross debt was €1.3 billion as of the end of the third quarter 2020. Looking at the bottom of the slide, Euronext liquidity position remained strong, slightly under €1 billion including the undrawn RCF of €400 million. I now, hand back the floor to Stéphane, and we will be available for your question at the end of the conference.
Stéphane Boujnah: Thank you very much Giorgio. So in conclusion, Euronext has delivered a strong third quarter, thanks to both recent diversification initiatives and our resilient core business. And Euronext delivers on its strategic goal of building the leading pan-European market infrastructure with the contemplated acquisition of Borsa Italiana, which is in every respect, an accelerator of the strategic plan released one year ago let's go together 2022. So Giorgio, Anthony and I are now available for your questions.
Operator: Thank you. [Operator Instructions] And the first question comes from the line of Haley Tam from Credit Suisse. Please go ahead.
Haley Tam: Hi, good morning Stéphane and good morning Giorgio. Two questions for me, please. Can I ask you one about the cash trading yield? At 0.54 basis points is actually higher than I had anticipated? I think you'd previously said a normal about 0.5. So I just wonder whether that is still due to small average trading sizes or if there's something else that's perhaps more permanent shift going on there? And the second question, just help me understand I'm afraid the VP Securities, there was a €10 million revenue contribution yourselves you mentioned some one-off core releases. And I noticed the Q3 cost of the whole group haven't really increased all that much, despite the inclusion of VPS -- VP Securities sorry, so I just wondered if you can give us some idea of the normal run-rate, perhaps that we should include for this business. Thank you.
Stéphane Boujnah: Thank you very much for your question. On -- with respect to the revenue capture on cash trading, I confirm what I said. We're living in very specific market conditions. And therefore we do not anticipate the rate of 0.54 basis points to be sustainable in the long run. And we believe that a revenue capture closer to the one of the previous quarter is going to be more sustainable. Again, it's a combination of many factors, out of which the reduction of the average trading side is one of those increase retail participation is another. But to answer specifically to your question, we confirm what we said, this is the result of very specific market condition. We do not expect it to be a new normal. When it comes to the cost base an end to the revenues of VP Securities, the release clearly impacts the margin but is below €1 million so is not super material. When it comes to the – and I believe that some other would have the same question with the cost guidance for 2020. I need to say and explain a few elements. The first element is that the cost of the third quarter benefit from a seasonal reduction of cost which is linked to the holiday season. So every single quarter in the last many years the Euronext Group has slightly lower cost based because of this impact and the seasonality is present as well in the Nordic region where usually the cost of the third quarter are lower with respect to the cost of other quarters. So the third quarter is not a good quarter to start projecting. The second element, we confirmed this quarter, the mid single-digit cost guideline that clearly excluded the new acquisition, let me state a few things in this respect. It is important to understand that at this very moment, Euronext, it depends the way you look at that as either a benefit in terms of cost coming from the exchange rate or a negative cost on revenues, which means that if you look at the evolution of euro against the currencies, which are relevant for us, these usually translate in slightly lower cost. And therefore our cost guidance clearly did not take into consideration potential changes of exchange rates. So what I can say is that if you take into consideration the fact that the mid single-digit is a range and the impact of a foreign exchange rate, and the fact is the third quarter is not a good starting point to project, I believe that is going to be easier for you to rationalize the reason why we're confirming our target for the 2020 cost base.
Haley Tam: Okay, thank you very much.
Operator: Thank you. The next question comes from the line of Philip Middleton from Bank of America. Please go ahead.
Philip Middleton: Thank you and good morning. That was very clear. I wondered if you could also just say, are there any one-offs in the post trade revenues, because it does look a very, very strong number, maybe stronger than I suppose most people are expecting? Also, could you comment a little bit more about the tax rate what you think is sustainable for the next few quarters? I don't know if you want to say about the recent system outage you had as well. Thank you.
Stéphane Boujnah: So good morning. I'll take you the question on the outage and Giorgio will take the question on the tax rate and on the revenues of VP Securities in Copenhagen. So we had one outage on the October 19. And following this operational incident, measures have been taken to ensure that all our operations are secure. The Euronext management board is undertaking a full review of the procedures -- of the processes to ensure the smooth running of all operations going forward. I think it's important to note that the issue was not due to a problem in the proprietary code of uptick, but it was due to a bug in a third-party component in a third-party middleware. So what I want to say that clearly Euronext has invested heavily in technology in capacity and latency and processes. This has allowed us to deliver a platform which is cutting edge that has been extremely stable and resilient since it was released. We dispatched from what -- did an amazing job during the peak of volatilities and volumes in March, April and May. And we believe that it is the backbone of the Euronext project which is all about building a single liquidity pool enabled by a single order book and powered by a single technology platform. And that irrespective of this particular incident which was material and which we are addressing in a closed dialogue with clients with regulators and where all the relevant, appropriate measures have been taken both the short-term ones and the long-term ones that being process of being are rollout. It's important not to put to lose perspective. And the perspective is that the platform works, the platform is a fashion, the platform is more stable than some other platforms. And the model is exactly what -- consistent with what the client expect. The client wants to reduce complexity, the clients want to reduce cost, the clients want deeper liquidity, the clients wanted, the stakeholders wanted an integrated market within the European Union. The regulators, the policymakers want to build the Capital Markets Union, and to have a sort of backbone to enable this Capital Market Union. And this is what we are doing. So this glitch is outage was material and we are addressing it. But let's not lose the perspective.
Giorgio Modica: When it comes to your first question related to post -- to the performance of the RCF is, there is nothing specific in terms of one-off its very good organic performance. It's fair to say that clearly, this business is for the vast majority driven by, it's a function of the asset under the custody but there is a portion which is linked as well to the volume of activity. And in this respect, there are a few elements which are relevant and might be impacted by COVID. One is the number of accounts that have still a very significant increase in the Nordics. And it is to a certain extent parallel to the increased trading activity that we have seen on cash trading. And the other one is the number of settlement distraction, which is again, could be linked to volatility. But nothing to be specifically mentioned in terms of one-off again, it's a very good, fully organic performance. When it comes to the tax rate, we already guided for a reduction over time of the tax rate because pretty much across the board, all Euronext counties are expected to reduce their tax rate. Now, clearly, the consolidation of Nordic countries speeds up that element because the average tax rate is at or below 25%. So this has an impact. The last comment -- so going forward, I believe that in the next quarter, you should expect a tax rate which is around 27%. Now, it's fair to say as well, and it is very important that some of the exceptional costs are not going to be tax deductible. So you should expect potentially the tax rate to be higher on a nominal basis the quarter is where we expense the most exceptional items.
Operator: Thank you. The next question comes from the line of Benjamin Goy from Deutsche Bank. Please go ahead.
Benjamin Goy: Yes, hi, good morning. Two questions please. First -- and the third quarter was not in particularly a very favorable environment for the industry, but still you grew 3.4% and thereby above your 2.3% guidance range. Just wondering what this quarter tells us about the underlying run rate or growth rate for Euronext going forward. And then secondly, on corporate services, another strong quarter obviously and yes, just wondering on the billing model and how recurring these revenues can be. Thank you.
Stéphane Boujnah: So when it comes to the growth rate at the moment, we do not intend to change the guidance which is 2 % to 3% then clearly with the inclusion of Borsa Italiana, which will contribute for one-third of the overall group revenue, for sure, we will need to come back to the market with more holistic type of targets, we are aware of that, but it's too soon at the moment. When it comes to corporate services, what I can say is that those revenues are extremely resilient and are based on -- those are fixed and contracted revenues. So there is some slight seasonality throughout the quarters, more specifically for the activities which are related to corporate events. So you should expect the some quarters to be higher than others. But apart from that, there is no any specific link to the volatility or nor the current condition. So you should expect those revenues to be very, very stable and growing.
Benjamin Goy: Okay, thank you.
Operator: Thank you. The next question comes from the line of Arnaud Giblat from Exane. Please go ahead.
Arnaud Giblat: Yes. Good morning. I've got three questions, please. Just to come back to your cost guidance. I think you said during your remarks, you're talking about €10 million to €15 minutes of integration costs for VPS and Borsa Italiana. And you also flagged, I think, a ramp up from strategic projects in Q4. So I was wondering if you can give the magnitude of the strategic project costs or especially already included in that €10 million to €15 million step up. And second, on Nord Pool, what share of the [indiscernible] market is currently traded over the counter? I'm wondering if -- where that stands and if you're if you're seeking to roll out Nord Pool into other new countries. Thank you.
Stéphane Boujnah: So it's clear, maybe I missed the intermediate question. But let's start with the first one. So there are a few elements. The element on which I didn't make a comment is that clearly, what we anticipated in the second quarter is that there would have been a certain amount of integration costs for VP Securities. And those are going to be the bulk of the €10 million, €15 million that I commented. As you know and as we did last year, once we finalize the assessment of the restructuring cost, we booked the provision and did exactly what we've done last quarter. So what you should expect is that out of the €10 million, €15 million the bulk of it is going to be nothing more than what we announced for VP plus additional costs that we will expand for project cost of Borsa Italiana. Those elements are outside of the 5% or mid single-digit type of growth rate that we guided the market. So this is an additional layer that I wanted to share with the market. The rest I already commented, I believe we confirmed the 5%, it is clear that we might have good surprise coming as well from exchange rate. Then when it comes to your question, do we intend to expand Nord Pool? The answer is yes. We are active in many countries and we are growing our market share in Central Eastern Europe. I believe that I missed your intermediate question, could you repeat that?
Arnaud Giblat: Yes, just what is the share of on exchange traded [indiscernible] over the counter exchange trade you’ve traded in where Nord Pool currently operates?
Stéphane Boujnah: I'm not sure we have did this KPI what I can share with you is that clearly on the Nordics market the market share is pretty much very close to 100%. And then the market share in other European markets are growing but those are market share within the -- on book so it does not include the ODC.
Arnaud Giblat: Okay, thank you.
Operator: Thank you. Before going to the next question [Operator Instructions]. The next question comes from the line of Albert Lau from ING. Please go ahead.
Albert Lau: Yes, sir. Good morning. It's Albert Lau from ING. Yes, basically two small questions left from my end. The first one is on the integration costs of Oslo in the strategic plan. I think it was something like €18 million and €12 million or €30 million in total. I hear what you say for the fourth quarter. But can you give some idea what was left of those envelopes, if you like for 2021 and 2022? That will help us I think [digital] models. The second question is a bit related to the Borsa Italiana potential acquisition, is this only bridge financing facility? How should I see that? And I guess the costs will start to come through from that already -- from the fourth quarter onwards? Can you share some ideas to what that isn't kind of material or not for weeks material for our models?Thank you.
Stéphane Boujnah: No, I understand you should -- I believe that for the next quarter is I will try to guide you, the best I can, having in mind that certain costs are going to be triggered by a decision which are not necessarily ours, because those are our success fees, et cetera. So what I can anticipate, again, just to make it clear that the costs that we're looking at the moment are more related to the consultant lawyer and those are not those type of costs. And then the other costs you mentioned are going to be closer to the execution of the deal and are going to be more success based. So again, out of the €10 million, €15 million, the bulk of that is going to be VP restructuring cost. And the remainder is the cost or advisor that the fees which are not success based. Then when it comes to Oslo Børs, we did the expense at the moment already more than 50%. The full KPIs on the Oslo Børs acquisition will release them in Q4 for the simple reason that after the migration, we will have a more complete picture because as you can expect, a very significant portion of the savings are going to be linked to the migrations from Millennium IT topic. So at the end of the fourth quarter, we will give you a clear snapshot on where we are and synergies achieved the restructuring costs incurred.
Albert Lau: Thank you.
Operator: Thank you. There are currently no further questions in the queue. [Operator instructions] We do have another question in the queue. And it comes from the line of Bruce Hamilton from Morgan Stanley. Please go ahead.
Bruce Hamilton: Hi, yes, morning, guys. And thanks for all the answers so far. Just a small question and it feels a bit unfair to quibble on what a good set of numbers but the data revenues were up year-over-year also down a bit versus the second quarter and a bit low to that at least to the consensus expectations. Is there any -- anything sort of one-off there or, there's any reason why there would be seasonality in that line or do -- how should we think about that [indiscernible] would probably look to be growing decently over time?
Stéphane Boujnah: No, I mean, there is nothing to be surprised, the element where there is a bit of seasonality is -- are the [DayNext] revenues, which are based on the AUM, that we build on the family of indices that we have developed. And those tend to have a volatility because, we build based on the data that we report and this tend to be more volatile. So actually, a better picture of the direction of travel is having a median between quarter -- rather than point-in-time. Apart from that the business is growing nicely. This quarter those revenues were slightly below the one of the previous quarter, but again, it's more related to type of billing between quarters than anything specific.
Bruce Hamilton: Correct. That's clear. Thank you.
Operator: Thank you. The next question comes from the line of credit Gurjit Kambo from JP Morgan. Please go ahead.
Gurjit Kambo: Hi, good morning, just one question for me. Just on the derivatives trading side. Obviously, the revenue per law declined mainly to do with the single stock and dividend futures, I guess, how do we think about that going forward? I know it's going to depend on mix. But is there any new products that you're launching, which might mix that, impact that revenue for [long term] going forward just anything how to think about the next few quarters?
Stéphane Boujnah: So the key driver -- it's a very fair question. So at the moment, we have three types of products, the commodities that at the moment are recording -- record high volumes at the highest revenue capture among all the products, then we have the new products that as you correctly mentioned, have slightly lower fees. And then we have the bulk of our products, which, like any other derivative product, it's offering at the moment, mainly due to the lack of visibility on dividends, which is a fundamental element for the pricing and trading of derivatives. So what has happened is that when you see relatively stable volumes year-to-date the reality that has been a significant shift i.e. our core franchise in terms of volumes has reduced significantly like any other market for the reason I mentioned and the gap has been filled by new products. Now, anything that will give better visibility on derivatives and good fuel the derivative market would bring back to a certain extent, the mix but is very difficult to anticipate. So for the next quarter, I believe that -- it's a little bit of difficult to anticipate. But again, what we're seeing at the moment is a mix, which is similar to the one of the previous quarter with the stronger contribution of derivatives. But again, it's very -- I tried to explain you the different building blocks, but it's very difficult to predict how is going to be the mix. We all looked at the derivatives volumes are going to be back at the level they were in the second quarter.
Gurjit Kambo: Okay, great. Thank you.
Operator: Thank you. There are no further questions in the queue. So I'll hand the call back to our speakers to conclude today's call.
Stéphane Boujnah: Thank you very much for your time. I wish you a very good day.
Operator: Thank you for joining today's call. You may now disconnect. Please stay on the line and wait for the instructions.